Operator: Good morning and welcome to Aramark's First Quarter 2016 Earnings Results Conference Call. At this time, I would like to inform you that this conference is being recorded for rebroadcast and that all participants are in a listen-only mode. We will open the conference call for questions at the conclusion of the Company's prepared remarks. In order to accommodate all participants in the questions queue, please initially limit yourself to one question and one follow-up. I will now turn the call over to Ian Bailey, Vice President of Investor Relations. Mr. Bailey, please proceed.
Ian Bailey: Thank you. And welcome to Aramark's conference call to review operating results for the first quarter of 2016. Here with me today are Eric Foss, our Chairman, President and Chief Executive Officer; and Steve Bramlage, our Executive Vice President and Chief Financial Officer. I would like to remind you that our notice regarding forward-looking statements, which is included in our press release this morning, can be found on our website and is detailed on Page 2 of our earnings slide deck. During this call, we will be making comments that are forward-looking. Actual results may differ materially from those expressed or implied as a result of various risks, uncertainties and important factors, including those discussed in the Risk Factors, MD&A, and other section of our SEC filings. Additionally, we will be discussing certain non-GAAP financial measures. A reconciliation of these items to U.S. GAAP can be found in this morning's release as well as on our website. With that, I'll turn the call over to Eric.
Eric Foss: Thanks, Ian. Good morning and thanks to everybody for joining us. As you saw in this morning’s release we reported a strong quarter and the year is off to a good start. The consistent execution of our transformation strategy continues to deliver a combination of broad-based growth as well as productivity improvement, both of which are leading to solid margin expansion. And despite some modest incremental currency headwinds, our outlook for the year remains unchanged. Looking at the quarter, adjusted earnings per share were $0.50 and 9% increase from last year on a constant currency basis. Total company organic sales were up 3% and food, labor and SG&A productivity gains facilitated an increase in adjusted operating margins to 7.1% a 30 basis point improvement versus year ago. In the quarter, we also continued to reinvest in the business as we continue to support technology, capability and growth initiatives across the organization. Overall, the quarter was consistent with our expectations and it illustrates solid momentum in support of the multi-year growth and margin expansion goals we presented at our Investor Day in December. As a reminder, at Investor Day we committed to a 100 basis point improvement in constant currency adjusted operating margins from 2016 to 2018. We have a very good line of sight on the food and labor cost reductions that will facilitate this margin lock. And while to a lesser degree SG&A savings are also an important component. We expect to drive margin improvement over this time period while simultaneously reinvesting in the business, particularly in the area of technology as we continue to work to create long-term shareholder value. I think our first quarter results demonstrate that achieving balanced sales growth, margin expansion and simultaneous reinvestment as possible when you have the right strategy in place and are actively managing the business. Going a bit deeper into growth, retention rates remain strong and are tracking consistently with our targeted mid-90s percentage for the year. North America organic sales were 4% in the quarter, led by sports and education, with notable gains coming from new client on boarding and strong playoff activity. We also saw a good growth across business and industry, leisure, and healthcare technologies. Our international business grew organic sales by 2% driven by continued expansion in Europe, mid single-digit growth in the emerging markets including strong high-teens growth in China. Absent our previously disclosed exit from two small geographies in Latin America, which reduced the international segments growth by a couple percent in the quarter, we saw consistent and stable growth patterns across our international business. Uniforms continues to benefit from our investments in capacity expansion, which resulted in organic sales growth of 4% in the quarter. We signed a number of new business wins during the quarter including Capital One Financial Corporation, Lincoln University, Highway Technologies in China, and the new Odyssey Aquarium in Scottsdale, Arizona. We look forward to our pipeline in new business as it remains encouraging, which I think bodes well for continued execution behind multi-year framework. Also on the new business front, we have told you previously that we won Yosemite National Park. The largest client win in Aramark’s history. And we’ve made excellent progress in our transition plans for the March 1 start-up, retaining almost 100% of the dedicated Yosemite employees who will manage overnight accommodations, food and beverage operations, retail sales and a variety of other park activities. We are extremely proud to welcome Yosemite to the Aramark family and we look forward in the coming months with a number of innovations to make the consumer experience at the park even more memorable. Innovation remains an integral component of achieving the growth goals we've identified. Innovation buttresses our productivity improvement by submitting our right to win new clients and our ability to maintain healthy retention rates, while also creating a more memorable experience for consumers. A few recent examples of notable innovation include our sports partnerships and ongoing focus on health and wellness. Following our World Series partnerships with both the Kansas City Royals and New York Mets, we continue to fuel championship performances across collegiate and professional sports. Including being a proud partner with the 2016 NCAA football champions, the Alabama Crimson Tide, and this year's runner-up, the Clemson Tigers. Both of these universities have entrusted Aramark for decades to fuel their students and student athletes to excellence in the classroom and on the field. In the NFL, seven of our 13 teams that we proudly serve competed in the post-season, including our 15-year facilities partner and Super Bowl 50 champion Denver Broncos, who we congratulate on an outstanding performance. Speaking of Super Bowl 50, for the second year in a row we were selected by the NFL to manage the NFL SHOP. The primary Super Bowl retail store. Our 35,000 square foot retail store was more than just a store and was designed to entertain fans while they shopped featuring a VIP boutique and customization section as well as player signings, wine tasting and music. I want to congratulate our teams and our partners because we drove a double-digit increase and achieved record sales this year on the merchandise front. We’re already looking forward to next years Super Bowl in Houston where we managed the full line of food and beverage, retail merchandise and the facility services. Coming up next, we are preparing for the NCAA March Madness were several tournament games and the final four will be played at Aramark venues. Turning to innovative offerings around health and wellness, our initiatives that we launched last year with the American Heart Association continue to ramp up. For February Heart Month, we kicked off the Eat Well Challenge to engage consumers at locations across the U.S. and committed to making healthier eating choices. People who accepted our Eat Well Challenge have a chance to win multiple Healthy For Life prices like Fitbits and Juicers that go to them and/or someone they care about. And to make it easier to Eat Well dining with Aramark consumers now look for our special Healthy For Life icon beating them to choices with at least one full serving of fruits, vegetables, whole grains or lean proteins as well as fewer calorie saturated fat and sodium in the traditional choices. Turning from growth to our second strategic must, which is all around activating productivity to reinvesting growth and expand margins. Here we continue to drive meaningful improvement and operating margins through reductions in our food, labor and SG&A expenses across the lines of business. During the quarter, we grew North American constant currency adjusted operating income by 8% partially driven by a 30 basis point increase in North America AOI margin. Our International business delivered 7% increase in constant currency AOI as well as 10 basis point improvements in margins. We also saw strong margin expansion across our South America, Mexico and China businesses. And while Uniforms AOI was down 3% this was expected and relates to our previously announced capacity expansion. Absent this temporary effect, we estimate the Uniform margin growth would have been consistent with business at pre-expansion levels. And additionally, we expect this capacity expansion to subside as we continue throughout 2016. Our focus on driving the cultural mindset around operational excellence to drive efficiency and productivity across our enterprise remains resilient. Our holistic approach to our operating models globally to address opportunities in food, across supply chain, to lowering our cost of goods sold through procurement, distribution as well as the food production process continues. In labor, we are implementing a standardized in unit labor model as well as focused on overtime and agency labor. We also continue to streamline and simplify our above unit organizational structure to ensure we’ve got clear roles and accountabilities that speed decision-making to create a better consumer experience. Looking in our third strategic pillar, our people last week we are honored to join our partner at the University of Central Florida to open an innovative therapy café, featuring a special harness system allowing people with traumatic brain injuries or strokes the chance to be mobile in the workplace. This creates a safe environment where they can focus on recovery as well as practice communication and cognitive skills and tasks. On a related note, we continue to earn recognition around the diverse and inclusive environment we provide to our employees. For the second year on a row, CAREERS & the disABLED magazine ranked Aramark amongst its top 50 employers by providing a positive work environment for people with disabilities. Our recruiting efforts continue to focus on filling the talent pipeline with our on campus recruiting initiatives as well as continuing to source from a large pool of deserving military veterans. Before I turn the call over to Steve, one other topic which warrants touching on given the level of uncertainty over the broader economy. And that is the resilience of our business model. There are many facets of our model that provide a significant degree of resiliency in an economic downturn. Our diversified and blue-chip client base reduces concentration risks and interestingly no one client comprises more than 2% of our annual sales. We also have a little over 50% of our sales derived from less cyclical healthcare, education and corrections clients which adds just another level of stability. Our variable food and labor input costs allow us to really flex the business model to meet the macro environment. And while I would add that my comments have no degree of prognostication regarding the trajectory of the broader economy, but as it relates to Aramark outside of energy we have not noted any unusual disruptions in our clients, in our sales pipeline or more broadly across the business. And as I’ve pointed out our outlook for the year is unchanged and we remained encouraged with our prospects going forward. And with that, I’ll turn the call over to Steve for a more detailed look at the numbers. Steve?
Stephen Bramlage: Thank you, Eric, and good morning, everyone. As Eric, mentioned the first quarter performance was quite consistent with our expectations. Even now we are facing a generally more uncertain global macroeconomic backdrop, we were able to make demonstrable progress against our longer-term financial objectives without compromising our commitment to invest in the business. Furthermore, we augmented our already strong financial flexibility during the quarter in spite of choppy market conditions. Let me begin on Slide 4, with the sales reconciliation versus the first quarter of 2015. Sales on a GAAP basis were flat year-over-year at about $3.7 billion. Adverse currency trends in the form of a stronger U.S. dollar with the only significant reconciling item year-over-year, as there was no material M&A impact. For us the most significant drivers of the $113 million currency sales headwind in the quarter were the Canadian dollar, the Euro and the Chilean peso all of which weakened between low and mid double-digits on a year-over-year basis against the U.S dollar. Organic sales for the Company grew 3% in the quarter with positive contributions from all three reportable segments. Slide 5, reconciles adjusted operating income year-over-year performance on a constant currency basis. Please note that as we have foreshadowed at the end of 2015 we’ve conformed our presentation of constant currency results to a format we believe is now more consistent with broader practice. We will no longer be adjusting prior-year reported numbers. In the center of the page first quarter 2016 adjusted operating income was $262 million approximately 4% higher than prior years figure of $252 million. The $262 million reported in 2016's first quarter includes $7 million of currency headwind or about 3% versus the prior year starting point. Therefore, on a constant currency basis our adjusted operating income improved 7% year-over-year. Both in North America and International FSS segments reported higher year-on-year adjusted operating income while Uniforms was lower due to the plant capacity expansion work in the quarter on the West Coast of the United States. When complete which should be by the end of the second quarter we will have expanded capacity in this part of the Uniform business by over 20%, which lays the groundwork for continued multiyear revenue and margin expansion in this segment. Slide 6, provides the roll-forward to help bridge our adjusted EPS year-over-year and as presented in the same format with that of adjusted operating income. Our adjusted EPS increased to $0.50 in the quarter versus the $0.47 we reported in the first quarter of 2015 taking into account approximately a penny of currency headwind this is a 9% increase on a constant currency basis. Slide 7 summarizes our balance sheet position in the quarter. I am very pleased to report that we continue to make steady progress improving our already strong financial flexibility profile. Our quarter end liquidity remains strong with our cash position and undrawn revolver providing approximately $780 million of available liquidity. While the first quarter is a significant seasonal use of cash for us free cash flow, which we define as cash from operations less net capital expenditures improved by approximately $85 million year-over-year and that was largely due to a combination of higher EBITDA and lower capital spending, the latter of which was largely timing related. Our total debt to adjusted EBITDA ratio was 30 basis points lower than prior year at 4.3 times due to both higher EBITDA and approximately $270 million of lower debt levels thanks to the deleveraging activity in previous years. During the quarter, the Company opportunistically issued $400 million of eight-year fixed rate unsecured notes due in 2024. This will extend the tenor of our debt maturity profile as it’s now the longest live piece of debt that we have and by the end of the year it will allow us to reduce the commensurate amount of secured short-term financing that matures in 2019. You should expect that we will continue to take advantage of opportunities that present themselves regarding our debt maturity profile over the next several years. We continue to expect that our free cash generation in 2016, which is after we’ve adequately reinvested in the business will first be applied to servicing the dividend and then directed to further deleveraging. Slide 8, details our expectations for 2016 and it should look very familiar from our last call. Other than a modest incremental currency translation headwind of an additional $0.02 per share at current rates, which we expect to absorb and offset within operations. Our business outlook remains completely unchanged. We continue to expect adjusted EPS between $1.65 and $1.75 and corporate performance at least on par with our long-term framework. And as a reminder, our framework contemplates 3% to 5% annual organic sales growth, mid to upper single-digit AOI growth and low double-digit adjusted EPS growth. Q1 results were clearly supportive of this framework. The recent bond offering will not change our interest expense assumptions for the year, which should be consistent with 2015 levels. Our segment expectations for the first half of 2016, which is on the right-hand side of the page, are exactly the same as what we told you in November. I have two comments related to the quarterly cadence of year-over-year performance in the first half. The first relates to the timing of our Yosemite account start-up. We did not invest as much as we had anticipated in the first quarter, which will push more of the planned investment into the second. We will essentially incur the full cost of running new account during the entire quarter to ensure that we have a smooth transition, while we only begin to record revenue in the last month of the second quarter. Secondly, the recent weather events on the East Coast of the U.S. are likely to have cost us the equivalent of a service day or two across several of our lines of business in the quarter. So to conclude, I would reiterate our expectations for the first half and the full-year remain completely unchanged from our earlier comments and consistent with our multi-year financial framework. With that I believe that Eric has a couple of closing comments.
Eric Foss: Thanks, Steve. And I think Ian, I’ll just have you open up the call for Q&A if we could.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Steinerman. Your line is open.
Andrew Steinerman: Hi. Congratulations. This is Andrew. My question is, I was hoping you could just go over the status of the various tech systems implementations. I obviously know you outlined a lot of them over at analyst day. But just give us a status of which systems are helping produce margin expansion now and which systems are really more of an investment that will help margins later on?
Eric Foss: Sure. Andrew good morning and thanks for your comments. I think as we shared at Investor Day, we committed to rolling out a variety of tools and technology that will help us as we proceed down that path. Our investments and technology vary from trying to standardize our global field financials, which is well in place. On the labor side, Kronos is an important scheduling tool. Again we are fairly far down that path relative to moving from pilot to deployment. I would say where there is a still a lot of work in progress is on the food side whether that be with PRIMA Web, which helps with our food production process and then on the sales side again fairly fully deployed with tools like salesforce.com. So my simple answer I think would be if you look at the quarter about half of our investment went into technology, the other half went into people and capability that will continue and I would say we’re fairly well deployed more on the labor tools and working progress on the food side.
Stephen Bramlage: And Andrew I would probably just add to this on point of sale we’re probably leased for along which is consistent with what we’ve communicated at Investor Day as we start to really rollout that platform across the organization. So that will certainly be something that I would not expect significant contribution from in the current fiscal year, it’s more in the out years.
Andrew Steinerman: And the financial ERP system.
Stephen Bramlage: The financial ERP system we’re largely an Oracle organization across most of our North American businesses today. We are rolling out Oracle on a couple of the smaller international affiliates, but I think for your purposes Oracle is really the platform across most of the business already.
Andrew Steinerman: Great, thank you.
Eric Foss: Thanks Andrew.
Operator: And your next question comes from the line of Andy Wittmann. Your line is open.
Andy Wittmann: Great. Thanks. So I guess my first question is, it sounds like sports and entertainment was a benefit. You guys called that out. Can you give us some boundaries as how to think about this in terms of how we compared to last year? And a year from now when we have to talk about this again that we don't have to say that we've got a tough comp here if there is something unusual?
Eric Foss: Well, Andrew good morning. Let me start by just saying I think if you think about our growth in the quarter, the best way to characterize that growth would be balanced and broad-based. It came from a combination of strong retention so very good base business growth, some moderate pricing into that base business growth and as we referenced in the comments some strong new business wins. So let me start with that. I think as you look at the performance of the various businesses, education, sports and entertainment led the way in North America, but again I think the revenue connected with for example strong playoffs will vary year-to-year, but it's not a huge, huge contributor or huge, huge headwind in any given your quarters the best way I would characterize it if that's the core of your question.
Andy Wittmann: Yes. No. That is. Thank you. And then for my follow-up I guess I wanted to dig into the uniform segment and the margins in particular. You talked about the capacity expansions being the reason why margins were down year over year. Maybe Steve, if you could give us some of the puts and takes inside of those margins. I guess across the industry we have seen the margin gains slowing here. But I have to imagine things like fuel were at least a little bit helpful to you, but maybe merchandise cost, maybe some of the key buckets that varied year over year. And then basically, what's the glide path, you said the margins were going to abate -- or the margin headwinds were going to abate as the year went on. What does that look like? Do you think we could see positive margins by 4Q? Just some of our commentary around that would be helpful?
Stephen Bramlage: Yes, let me take a shot at that first. So I think specifically in the first quarter a couple of different questions in there. Our exposure on some of the macro stuff in our Uniforms business, energy clients and that sort of thing I would not label as material. So let me put that aside first. We clearly did get a modest benefit on year-over-year basis from lower diesel and fuel costs, probably a couple million dollars on a year-over-year basis there. The way I would describe the pressure that we had in the first quarter from the capacity expansion as for a period of time we essentially are running two factories at the same time. We are stating up a new factory and we have hired all the people and we have turned it on and are running the equipment and in the process of transitioning the laundry from one to the other the legacy factory is also up and running. And so you are incurring kind of a doubling of costs for the period of time related to that facility and so that doubling of cost across the West Coast is what drove ultimately the margins to be a little bit down on a year-over-year basis. We certainly, if you look at our guidance for the rest of the year, I would expect Uniforms to be positive on a year-over-year basis in the second quarter modestly, and then we will get us to more of the traditional run rate into that business by the second half of the year as it relates to year-over-year margin improvement.
Eric Foss: Yes. And just maybe add a little color commentary I think if you look at our focus on the margin March broadly it certainly applies equally to whether it’s our food or facilities or certainly our Uniform business as well Andrew. It’s been a major priority as you know the last several years we’ve made significant progress to the tune of 50 bps or better performance year in and year out each of the last three years. As Steve mentioned and as we mentioned in the comments there is headwind due to capacity that will subside so I think as we watch the year unfold you will see margins improve and would expect them to be positive on a full-year basis.
Andy Whitman: Thank you.
Operator: And your next question is going to come from the line of Denny Galindo. Your line is open.
Denny Galindo: Hi, thanks for talking my questions.
Eric Foss: Good morning, Denny.
Denny Galindo: Thanks for taking my questions. Thanks for the color on Yosemite start up cost. I just want to delve a little bit more into that. When I was backing into the revenue lift I was coming to say once it gets up fully running it maybe it adds 150 basis points a quarter. If that's right, first of all, does that mean the expenses in Q2 would jump up by somewhere around 150 basis points but revenue would only increase maybe 50 basis points? Is that the right way to think about?
Stephen Bramlage: Well, I would – I will probably state it to dollars. I think that’s a little safer for us in terms of the way I think about it, we will - on a full-year basis as Eric had referenced Yosemite is going to be essentially the biggest new client win that we’ve had. So, well over 100 million approaching 121 million, 30 million revenue on a full-year basis. So we clearly won’t get all of that in the fiscal year, but we’ll get most of the high season based on the - when the park in the summer is within our fiscal year. But I would expect us to pick up or to incur a couple of million dollars of incremental operating cost without a lot of revenue to show for it in the second quarter and then you will start to see a reversal of that in the third and we would expect to be getting fairly typical profitability in that account as we could enter the second and later part of the year.
Denny Galindo: Okay. That's helpful. And then just detailing what types of costs you are spending there. I mean, usually startup costs are heavy on labor and hiring and training. But I know this one, there has been kind of this issue in the news about Delaware North and their suit over the names of the hotels and the trails. So maybe you could give us a little color on how much of the startup is labor and traditional startup versus how much is unique startup from this particular kind of conflict you're having. And is that number even known yet or is it still up in the air depending what happens with their challenge of kind of the transfer of ownership to some of those brand names?
Eric Foss: Yes, Denny it’s Eric. Let me take that. Let me back up and state a couple of things on our partnership with Yosemite. First of all I think we are very honored to have been chosen. It’s a real privilege and certainly an honor that we take very seriously. I think if you think about the startup you know the team has been working seamlessly with NPS to create a real seamless transition. The great news is unlike a lot of other more intensive startups, this one while it’s big in terms of revenue the degree of difficulty is actually a little bit easier relative to the transition one of the big reasons for that is we have actually retained and hired about 90% of the - plus percent of the employee base. So to your point when we talk about startup costs I would characterize it as our startup costs are very traditional investing in capability - investing in capital and other improvements that are needed and I wouldn’t say there is anything of any significance relative to anything unique, to use your term relative to cost as we look at that. And again it would be inappropriate for me to comment on some of things that have been going on from a litigation standpoint. But rest assured that I think the NPS and Aramark are going to be long-term partners we continue to develop innovative programs and services that will create a better experience for park visitors and I think you’re going to find this is going to be a great, great client of ours and one that we - that we are very happy to land.
Denny Galindo: That’s it for me. Thank you, guys.
Eric Foss: Thanks.
Operator: And your next question comes from the line of Gary Bisbee. Your line is open.
Gary Bisbee: Hi, guys. Good morning. I guess the first question, could you give us a little more color at the end market or sub segment level? In your filings you put, you break down revenue by education, healthcare, business, and industry, et cetera, for the North America business. And I know that was difficult last year because of the timing shift and a few other things. But I am trying to peel that back. It sort of looked like education was the primary growth vehicle and the rest of the businesses didn't do quite as well. That may well just be the extra week. Can you give us some more color there? Thanks
Eric Foss: Yes. Sure. Gary, good morning, it’s Eric. Are you talking primarily about North America or you talking about some of the international geographies?
Gary Bisbee: I mean whatever you would like to comment on. North America food and facilities was primarily what I was thinking about.
Eric Foss: Yes. You bet. Well let me say the following. I think as you looked at our growth in the quarter, again I’m going to use the same terms which are balanced and broad-based. So let me break North America down for you into some of the bigger chunks. Education led the way along with sports and entertainment as we talked about. We saw good growth in leisure, we saw good growth in business dining another big segment for us, we saw good growth in our healthcare technology business, which grew. So I think literally across the board, we saw fairly significant growth. I think maybe with one expectation that I would call out which would be corrections as you know we exited a client that will impact us a little bit in the early part of the year. And then as you breakdown the international growth, again saw really good growth in Europe led by Germany, and Ireland, and Spain that was offset by some of the headwinds we’re experiencing with the UK offshore business. And then as you get into emerging markets, saw double-digit growth out of China, as I mentioned Korea was double-digit, Mexico was double-digit. And as we’ve talked, as we exit a couple of these unprofitable markets, there are a little bit of a headwind. So I mean it’s really broad-based as is evidenced by my comments.
Gary Bisbee: Great. Thanks. And then a question I've been getting a lot lately, which is somewhat ironic given a year ago it was the opposite people were worried about, but help us understand how we should think about food deflation in your business model? How it impacts the top line margins and I guess whether you've seen it and whether it looks like from run rate levels you might see that later in the fiscal year? Thank you.
Stephen Bramlage: Yes. Let me start with that Gary. So our experience year-to-date on food I would say is generally pretty flat. I don’t think we’re actually in a deflationary environment in total, but we certainly do not have a lot of inflation at the same time. So if you think of the 75% to 80% of our business that is food related. Food is probably 40% or so of our cost of services in that part of the business. And so to the extent the third of that piece of the business, which is more of a traditional kind of a cost-plus or client interest type of a business. So to the extent there is deflation or inflation, we would not benefit or feel the pain associated with that. That would generally pass on to the clients account. So I would tell you not much is passing on one way or the other thus far this year. The other two-thirds of that piece of the business which it’s really on our own account, obviously we would get the benefit of deflation or lack of inflation and to the extent it ticks up, we would have to incur that on our own. But buy and large thus far a very little to any inflation at all on a net or a gross basis thus far this year.
Gary Bisbee: Thank you.
Operator: And your next question comes from the line of Manav Patnaik. Your line is open.
Manav Patnaik: Good start to the year. I just wanted to just go back to your questions on your resiliency in a tough economic environment and the different offsets in less successful sectors you had. I was hoping just on the catering business firstly, if we look back at how you guys did in the 2008, 2009 timeframe, how would you characterize that? And in terms of what's changed from then to today. Do you have much more exposure to the less [less cyclical names] as your cost offsets much better position? Any color on that would be helpful?
Eric Foss: Yes. Thanks Manav. I think in reference to your question, our business has proven to be very resilient as well as very predictable to be honest. I think it’s driven by a couple of things. One is we kind of start with this strong retention rate and tenure kind of client duration that plus the fact that 50% of this business rests in less cyclical sectors like healthcare and education. The fact that model itself is diversified certainly helps and then I think our ability to deal with some of the things that Steve mentioned relative to inflation gives us I think some very unique advantages. And so I think if you go back in time what you'll find is over time both in good times and in more difficult economic times the model is very resilient relative to the margin structure and the overall profitability. So we feel highly confident in our ability to execute even in more difficult economic times.
Manav Patnaik: Got it. And then maybe on the uniform segments somewhat similar, Steve, I think you mentioned oil was not a material exposure. But just generally to think about the exposure to industrial, manufacturing in the context of the pressures in those particular sectors, is there anything to call out in terms of exposures as a concentration?
Eric Foss: But we only think I don’t know that Steve comment, but the only thing I would say is our Uniform business is our most sensitive business to employment. So that is I think a very unique dimension to the Uniform business versus some of our others. Steve, you want to add?
Stephen Bramlage: The only think I would add is our concentration generally with any individual sector or any individual customer in Uniforms is probably the most diffused of any of our lines of business, right most of our accounts are relatively small business type of accounts generally. So our exposure and our concentration to any individual segment is probably de minimis or immaterial I guess from an organization's point of view.
Manav Patnaik: All right. Thanks a lot guys.
Eric Foss: Thank you.
Operator: And your next question comes from the line of Stephen Grambling. Your line is open.
Stephen Grambling: Hey, thanks. Good morning.
Eric Foss: Good morning Steve.
Stephen Grambling: This is a follow-up on Gary's deflation question. What are the big buckets of commodities that would influence your input costs most, whether that's produce, beef, cheese? And is there a lag time on what you see? Because it looks like most proteins and dairy are pretty far down and some of your distributors even seem to call it out at least as a benefit?
Eric Foss: Yes, let me start. I mean if you look at the waiting I mean you touched on some of the larger items, obviously proteins are important to us, proteins are probably a quarter so of our total index and you got your fruit and vegetables, dairy, grocery. So the things that you had mentioned. I think we have – get back to my initial or my earlier comments kind of a flat overall we do have some modest inflation in a couple of categories. So there are some inflation and some of the fresh, more fresh products on fruit and vegetables et cetera offset by a little bit of lower pricing on some of the proteins. So I would say its mixed bag in terms of what we've seen thus far for us and again it’s getting back to that flattish kind of experience thus far.
Stephen Grambling: Thanks. That's helpful. Turning to the uniform business, with this 20% increase in capacity as we think about the revenue potential, is that something that was limiting the opportunity from existing customers or is that more of a new customer opportunity?
Eric Foss: I think what happened Steve last year was pretty good example. We ran into situations where it was affecting our ability to supply on the West Coast and so the need for expansion in the additional capacity was very much needed and I think you'll see a little bit of that uptick as we had that capacity and now have the flexibility to go out and sell more. We were very, very capacity constrained I would say for the last 18 months or so prior to this capital investment.
Stephen Grambling: Great. One last one if I could sneak it in. I may have missed this You mentioned Latin American exit being a couple of percentage points headwind. I guess what drove that exit? Or could you remind us of that? What was the growth rate in Europe this quarter?
Stephen Bramlage: The growth rate in Europe in total was up low single-digit I think relative to the South America question I think we’ve mentioned before that we were exiting some unprofitable and subscale markets. There were couple of countries that were just subscale and so as a result of that South America was in total I think down about a point, but it was affected by the exit of those two geographies.
Stephen Grambling: And will that be similar through the rest of the year?
Eric Foss: Yes, we’ve started that process; we obviously need to respect existing customer contracts et cetera and so I would expect a relatively ratable phasing over the course of the year from those exits.
Stephen Grambling: Very helpful thanks so much. I’ll jump back in the queue.
Operator: And your next question comes from the line of Anj Singh. Your line is open.
Anj Singh: Hi. Thanks for taking my questions. One on North American adjusted operating margins. Wondering if you could just give a sense of what the margin expansion at Q1 would have looked like if you phased in the startup costs and investments as you had originally planned? Just trying to get a sense of how much of the lift was productively driven versus lower investment?
Eric Foss: Yes, let me take that, I think if you think about what we've termed in the past base productivity, a combination of food, labor and SG&A efficiency and productivity that base productivity was up about 50 basis points. And then I think you can walk from the 50 basis points to the 30 basis points pretty equally relative to about 10 basis points of investments as I mentioned earlier split evenly between technology and capability and the other 10 bps on startup costs.
Anj Singh: Okay Got it. That's helpful. Then I think you had also discussed at your investor day some technology pilots that you would be rolling out at several client sites in December. Could you just give us an update or some insight on how that fared? Would appreciate any color there?
Eric Foss: Yes, I mean I would say I’d characterize it broadly as we’re on track I mean some of those are just starting up to be perfectly honest with you. So anytime we go into pilot we want to get at least a six-month read before we are beginning to draw any conclusions. In some instances, it might even be a little bit longer than that. But I’d say everything is on track and in motion. And as we get the key learnings just like we did last year you’ll probably see us talk more about that as we get into the later quarters this year.
Anj Singh: Appreciate it. Thank you.
Eric Foss: You’re welcome.
Operator: And your next question comes from the line of Sara Gubins. Your line is open.
Sara Gubins: Thanks, good morning.
Eric Foss: Good morning.
Sara Gubins: Good morning. How are your new business wins pacing? Are they looking like they will about the $1 billion mark for the year?
Eric Foss: Yes, I think if you looked at our new business in the quarter it was pretty much on track again we had some strong wins that we highlighted the pipeline is encouraging. The thing that we can never really tell Sara is just the decision-making matrix and timeline. And so again from where we set we’re very encouraged but the timing of those decisions are obviously in the hands of our clients. But I think from where we sit right now we would expect to have a strong year on a consistent new business year relative to the multiyear framework that we’ve laid out.
Sara Gubins: Great. And then back to international. Just to make sure we understood, are there more underperforming markets that you're planning to exit throughout the course of the year? And could you help us think about a what that might mean for your margins? They were up less than what we're used to seeing. I would assume that some of that drag might help margin expansion during the rest of the year?
Stephen Bramlage: Yes, I think we are – for the time being pretty much done with what I would call the pruning of some of the unprofitable businesses. And I think as the year unfolds what you will see is as we exit these unprofitable subscale markets, it will be a bit of a revenue headwind and it will be a margin tailwind relative to the pickup as the quarters unfold in 2016.
Sara Gubins: Great. Thank you.
Operator: And your next question comes from the line of Carla Casella. Your line is open.
Carla Casella: Hi, I wonder if we’re [indiscernible] opportunistically the bond market this year. Any thoughts on refinancing the next notes that – as they go callable?
Stephen Bramlage: Yes, I will take that. We’ll continue to access all of the options that we have available to us, we’ve certainly will look at the notes obviously when the call date steps down those notes are due by year or two after a significant amount of secured debt that actually have a larger notional amount. So my expectation sitting here is I think we would be more likely to attack near-term maturities given the size of that tower and the fact that gives us more flexibility from a secured debt standpoint, but we will certainly look at the math as it relates to the notes at the next call-down date as you would expect us to…
Carla Casella: Okay. And then you mentioned that your uniform business is the most economically sensitive. But I am just wondering if you have seen any recent either weakness in the volumes at more your business services business or, in the financial industry just given the fluctuations in the stock and bond markets?
Stephen Bramlage: No, I don’t think so. Again as I mentioned in my prepare comments, I think where we’ve seen some disruption is really in the energy sector and other than that given the broad-based performance we saw in the quarter, we continue to see pretty good performance across different sectors, industries and channels.
Carla Casella: Great. Okay, thank you.
Operator: And your next question comes from the line of Manav Patnaik. Your line is open.
Manav Patnaik: Thanks again. One quick question. I wanted to follow up again on capital allocation. I know you mentioned it briefly in the call. Just curious. You had done a little bit of a buy backs last year. I think the market today would like to see companies delever a bit. I think the M&A pipeline might be getting better if the economy keeps hanging in like this. Curious how you guys think about the priorities and how those could move around based on what opportunities arise?
Stephen Bramlage: Yes. So this is Steve. I think we are thinking the same things that we were thinking previously around capital allocations. It’s for sure we want to continue to delever the balance sheet and so absent something from a strategic point of view that gives us a compelling reason to assess whether we would want to spend some of our capital on there, which tends to be very episodic obviously and not totally within our control generally anyways, certainly in this fiscal year you should expect us to continue to delever. We’ve been very clear that we are targeting in net debt to EBITDA ratio somewhere south of 3.5 times and so we will need to take the cash we generate this year and apply that to deleveraging to move closer to that 3.5 times number. And as we had said on Investor Day, to the extent that there is a strategically compelling opportunity for us in the market. We would certainly look at that and to the extent we would pursue something we would need to be confident that there was a very clear path for us to maintain progress around deleveraging in a longer term basis, right. We would need to see how we get back on the path that we are currently pursuing. Short-term, the cash will continue to go to deleveraging absent any additional alternatives.
Manav Patnaik: All right. Good to hear. Thanks guys.
Eric Foss: Thanks.
Operator: And your next question comes from the line of Denny Galindo. Your line is open.
Denny Galindo: Hi, just a two quick little ones for housekeeping. Number one, could you tell us what the impairment -- looks like in North America was small, like $1.7 million. Just curious what asset that was referring to? Secondly in the capacity in California, what city is that capacity going into to or is it broadly spread out? Maybe just a little you color there too as well?
Eric Foss: Yes, so I’ll do the second one first. A large part of our work is really up and down the West Coast, but the specific locations that we spent the most time on are in Central and Northern – or across California really so I would say greater LA and greater San Francisco areas where we spent a lot of the time and a lot of the money with those facilities and the adjustment we made that you referenced earlier. We have a property that held for sale and as we work through various offers on how we sell that based on market conditions et cetera, we need to mark that property to market each quarter. And so based on current market conditions we wrote it down by little over $1 million.
Denny Galindo: Okay. Thank you very much.
Operator: [Operator Instructions] Your next question comes from the line of Anj Singh. Your line is open.
Anj Singh: Hi. Quick follow-up. I know we talked about food and deflation. Hoping we can also just touch on wage inflation. Some of the BLS labor data is starting to show modest wage acceleration. Hoping to just get your sense of what you are seeing on that front. Are you seeing any similar pressures in your labor costs and perhaps any expectations on that front as we look ahead?
Eric Foss: So I’ll start with that. I would say we are experiencing general market conditions around labor inflation at least certainly in the United States and so our labor – the way the labor inflation impacts us would be the same as food in terms of how much we end up absorbing versus ultimately sending through for client benefits. So I won’t repeat all of that math, but we certainly are experiencing a percent or two of labor inflation broadly across the Board and I think that’s consistent in both our hourly workforce as well as our salary workforce in the U.S.
Anj Singh: Okay, thank you. I appreciate it. End of Q&A
Operator: And that concludes today’s Q&A session. We now turn the call back to the presenters for closing remarks.
Eric Foss: Well, thank you very much. Again just to reiterate, we think the years off to a nice start, business is performing well and our focus is really on continuing to work on how we grow and create shareholder value going forward. So we appreciate you joining us today and have a great day. Thank you.
Operator: Thanks all participants for joining us today. We hope you’ve found this webcast presentation formative. This concludes our webcast. You may now disconnect. Have a good day.